Operator: Good afternoon, everyone, and welcome to Associated Banc-Corp Fourth Quarter 2020 Earnings Conference Call. My name is Diego and I will be your operator today. At this time, all participants are in a listen-only mode. We will be conducting a question-and-answer session at the end of this conference. Copies of the slides that will be referenced during today's call are available on the company's website at investor.associatedbank.com. As a reminder, this conference call is being recorded. As outlined on slide one, during the course of the discussion today, management may make statements that constitute projections, expectations, beliefs or similar forward-looking statements. Associated’s actual results could differ materially from the results anticipated or projected in any such forward-looking statements. Additional detailed information concerning the important factors that could cause Associated's actual results to differ materially from the information discussed today is readily available on the SEC website and the Risk Factors section of Associated's most recent Form 10-K and subsequent SEC filings. These factors are incorporated herein by reference. For a reconciliation of the non-GAAP financial measures to the GAAP financial measures mentioned in this conference call, please refer to pages 22 and 23 of the slide presentation and to pages 10 and 11 of the press release financial table. Following today's presentation instructions will be given for the question-and-answer session. At this time, I would like to turn the conference over to Philip Flynn, President and CEO, for opening remarks. Please, go ahead, sir.
Philip Flynn: Thanks, Diego. And welcome to our fourth quarter 2020 earnings call. Joining me today are Chris Niles, our CFO; and Pat Ahern our Chief Credit Officer. Before discussing our results for the fourth quarter and full year, I'd like to say a few words about the CEO transition we also just announced. After 11 years with Associated, I announce my plans today to retire at the end of 2021. I've been thinking about this for some time, and in consultation with the Board, we agreed this is the right time to initiate our succession process. As noted in the press release, I will continue as President and CEO until my successor is in place, at which time I'll step down from both of those roles and from the Board. I'll be available to the new CEO in an advisory capacity thereafter to assure a smooth transition for our customers and colleagues. The Board has commenced a search for a permanent successor and will consider our internal as well as external candidates.  As you can appreciate, we cannot speculate on the timeline for that search. But the Board and I are highly confident that we will name a strong successor who will take Associated to its next phase of success, continue our profitable growth trajectory. I look forward to working with my successor to ensure a smooth and seamless transition. But now let me turn to our fourth quarter and full year results. This was a year unlike any of us has experienced. In the midst of incredible challenges and uncertainty, the commitment of our colleagues shone through. COVID-19 changed every aspect of life, including how people and businesses bank. In navigating the unknown, it was essential that our customers were able to connect to count on us and that our teams were safe and well positioned to provide their support. As businesses and schools shut down, we found new ways to support both the health and financial well being of our customers and communities. Through the efforts of our colleagues, we were able to support our customers with over a $1 billion of PPP loans, and adapt our branch services as our customers shifted to remote banking. It goes without saying that 2021 will have many challenges. However, the arrival of the COVID-19 vaccines promised to return to normality. Perhaps it's only fitting this year we will celebrate our 160th year as a company and our rich history of supporting our customers and communities in their times of need. As we have through the decades, we stand eager to help build a stronger economy and better society. During 2020, we took several actions to prepare for the recovery we expect to see in 2021. On slide two, you can see the improving trends for a number of key items. With the sudden decline in interest rates this past year, we quickly moved to reduce funding costs and implement strategies to stabilize and increase our asset yields. Together these actions helped drive margins higher during the fourth quarter. In addition, beginning in the second quarter, we took several steps to increase the efficiency of our organization. Included was the sale of Associated Benefits and Risk Consulting, the third quarter efficiency initiatives, reducing branches and personnel costs, and the recently announced sale of Whitnell, our family office subsidiary. Taken together, these actions will help drive further improvement in our efficiency and expense run rate, as we move into 2021. We adopted CECL on January 1. And as the pandemic began to unfold, we moved swiftly to increase our allowance in contemplation of the economy we saw up through the middle of the year. As we move further through the back half of the year, we were encouraged by the positive emerging trajectory of the economy. And as we closed out the year, we are very pleased with the low levels of deferrals and new problem loans, which allowed us to bring down our provisioning over the back half of 2020. Notably, we posted a net reserve release of $11 million during the fourth quarter. Collectively, these positive trends drove the EPS improvement we saw in the fourth quarter. We recorded $1.86 of GAAP earnings per share for the full year 2020 or a $1.19, when adjusted for the gain on sale of Associated Benefits and Risk Consulting. Turning to slide three, let's drill further into some of these positive trends for the quarter. Our fourth quarter EPS was $0.40, up more than 50% from the third quarter. We saw our net interest margin expand 18 basis points to 2.49%, driven by expanding commercial and industrial loan yields, and PPP accretion from forgiveness. We ended the year with fourth quarter 2020 over fourth quarter 2019 average loan growth of $1.9 billion or 8%. Mortgage warehouse and CRE lending continued to be strong performers during the quarter. We continue to grow our lowest cost deposits, which accounted for 64% of total deposits at the end of 2020. The cost of interest bearing deposits declined significantly throughout the year. During the fourth quarter, the cost of interest bearing deposits, excluding time deposits, was just 7 basis points. The provision for credit losses was $17 million during the quarter, down from $43 million in the third quarter. Loan deferrals fell to less than $80 million. And both non-accruals and potential problem loans declined. Our allowance reserve covered 1.76% of loans at the end of the year. We finished the year on a strong capital note, tangible book value per share increased to $16.67. And all our regulatory capital ratios were higher year-over-year. On slide four, we've provided a summary of our 2020 pretax pre-provision income. We've also highlighted several significant initiatives, which we executed over the year and their impact on PTPP. Adjusted for these significant items, PTPP was $393 million for the year. On slide five, we provide a similar view for the fourth quarter, excluding the gain on sale of branches, fourth quarter PTPP was $94 million. Average annual loan balance trends are shown on slide six. Total average loans came in at $24.5 billion, up $1.4 billion or 6% for the year. PPP lending and CRE activity accounted for most of the year's growth. Commercial and business lending increased $983 million, or 12% from 2019. This was driven by PPP lending, and mortgage warehouse financing. We also continued to reduce our oil and gas exposure to only $296 million at the end of the year. Oil and gas outstandings now represent just a little more than 1% of our total loans. Average commercial real estate loans grew over $660 million, as customers continued to build projects, particularly industrial and distribution center projects across our footprint. Construction lending has been particularly resilient in the Upper Midwest, and our unfunded commercial real estate commitments stood at $1.9 billion at year end, reflecting a healthy amount of expected further growth as we move into ‘21. We originated a record $4.5 of mortgages during the year, driven by the lower mortgage rate environment. Despite this, average consumer loans finished the year at $9.3 billion, down $230 million. The low rate environment encouraged to refinancing activity across our markets and contributed to the further rundown in our home equity book. We've been reluctant to add low rate mortgages to our balance sheet, but we have benefited from the sale of originated mortgage loans in the form of mortgage banking fees. Turning to slide seven, we highlight changes in the quarterly loan trend. Compared to Q4 2019, average fourth quarter loans increased $1.9 billion. Commercial real estate loans increased $963 million and commercial and business lending increased $1.2 billion, including PPP loans. On a sequential quarter basis, fourth quarter average loans fell $281 million from the third quarter. This decline was mostly attributable to PPP forgiveness, which we began to see in the fourth quarter through year end about 25% of our PPP loans have been repaid or forgiven. Looking out to ’21, outstanding 2020 PPP round 1 and 2 loans should be largely paid off or forgiven during the first half. We are currently originating new 2021 round 3 PPP loans, and expect these to peak in Q2, and then decline towards year end. With respect residential mortgages, we project balances to be flattish throughout the year, as new mortgage portfolio production and increasing home equity production and utilization are more or less offset by the negative impacts of the ongoing refi market on these categories. We are optimistic about commercial loan demand in ‘21. Specifically, we expect commercial real estate growth to continue at a strong pace and to increase average CRE balances by 4% to 6% during the year. We're also anticipating commercial line utilization expansion that should add 1% to 2% to outstandings, particularly as we move into the back half of this year. Taken together, we expect full year commercial loan growth that is commercial real estate and commercial and industrial combined, of 2% to 4%. On slide eight, we've summarized our COVID-19 relief efforts for the year. During the second quarter, deferrals peaked at approximately $1.6 billion. At year end, deferrals were just $79 million. We saw very positive trends throughout the year, and we're very pleased with where we ended. Most customers who received deferrals have not needed additional assistance, and have been able to resume making normal payments. Total deferrals make up just 32 basis points of our total loans at year end. The remaining deferrals are primarily residential mortgage borrowers that are still in their initial 6 month deferral period. We expect substantially all of these consumer deferrals to be cured or expire without any credit implications in the coming quarter. Our allowance update is shown on slide nine. We utilized Moody's December 2020 baseline forecast for our CECL forward looking assumptions. The baseline forecast assumes additional stimulus, continuing low rates through 2023 and a COVID vaccine that becomes widely available late in this quarter. We have previously indicated that we expected to taper our reserving as we move through the year and in fact, our fourth quarter reflects a net reserve release of $11 million. While we set aside $17 million as a provision for the quarter, we also charged off $28 million, resulting in a net lower quarter-over-quarter total allowance. This net release was driven by a $27 million gross reduction in our allowance related to our general, commercial and business lending portfolios. This gross release was partially offset by $15 million of additional reserves set aside for commercial real estate loans. The commercial real estate reserves are driven by the fact that our construction loan portfolio has grown by over 30% year-to-date, and that we reserved for the full committed amount on a construction loan at inception. As of December 31, our total allowance was $431 million, down from $442 million at the end of the third quarter. Similarly, our ratio of reserves to loans was about flat 1.76% to 1.77%. Our credit metrics are presented on slide 10, potential problem loans, non-accrual loans and net charge-offs all declined during the quarter. Our key COVID commercial exposures also continued to decline. And notably our oil and gas, retail and restaurant exposure all declined during the quarter. We'd also note that we had no oil and gas net charge-offs this quarter and we're confident that with oil prices currently holding above $50 a barrel, we are well reserved going into 2021. Assuming the positive credit dynamics continue, we expect our full year 2021 provisions to be no more than $70 million, with some quarterly variability. Turning to slide 11, annual average deposits were $26 billion, up nearly $1.3 billion or 5% over 2019. At the end of 2020, low cost deposits grew approximately $3.6 billion compared to the end of 2019. At the same time, we reduced high cost time deposits and network deposits by over a $1 billion. These are all time record deposit levels for Associated customers, and are testament to the resiliency of our systems, and our ability to continue to attract and retain core customers in a low rate and largely remote banking environment. We're also happy to report our customer satisfaction ratings have never been higher. Our customer interaction and call center survey data suggests our customers have been well served, despite many of our branch lobbies being closed for part of this year. Further, our mobile applications continue to be refreshed and have been very well received by our customers, who've given us a 4.8 star rating out of 5 on the most popular mobile platform. Turning to slide 12, fourth quarter average deposits were $26.7 billion. Low cost non-interest bearing and savings were up from third quarter. While network and time deposits declined yet again. Low cost deposits accounted for nearly 64% of our balances at the end of the year. Turning to slide 13, fourth quarter net interest income was $188 million, up $6 million from the third quarter and net interest margin of 2.49% was up 18 basis points from third quarter. We had previously guided that net interest margin would bottom out during the third quarter and pickup in Q4. As expected, margin hit bottom in July and August, and then rebounded to 2.56% in December. Asset yields benefited from our implementation of LINOR floors, reduced investment activity and generally widening spreads on new loans. On the liability side, we benefited from lower levels of borrowings, driven by the influx of customer deposits, which drove our funding costs down. This persistent customer liquidity encouraged us to repay $1 billion of PPP loan fund - funding in November. We also aggressively repriced our consumer deposit book, yet still have $288 million and 1% plus CDs, which will mature in the first half of ‘21. We expect spreads to widen on our LIBOR base commercial loans, as we continue to implement new LIBOR floors into our new and renewing loans. This will happen over time or in conjunction with other repricing or credit actions, including the anticipated migration to SOFR and other indices away from LIBOR later in ‘21. We continue to expect to see our margin expand as we move throughout the year. We expect our net interest margin to be relatively flat in the first quarter, and to gradually expand over the course of the second through fourth quarters. We expect the full year's margin to be between 2.55% and 2.65%. Turning to slide 14, fourth quarter non-interest income came in at $86 million. Mortgage banking, service charges and wealth management fees all contributed to this quarter’s growth. We also recorded $7 million of deposit premiums on our previously announced branch sales. Our mortgage banking activity remained strong this quarter, with nearly $340 million of mortgages sold to the agencies, generating $14 million in net fee revenue. We also picked up nearly a $1 million of MSR recovery during the fourth quarter and still have over $17 million in temporarily impaired MSR at year end. We expect mortgage banking activity to remain somewhat elevated as we move into the year. Service charges and deposit account fees came in at $15 million, an increase of a $1 million quarter-over-quarter. Wealth fees also increased nearly a $1 million, reflecting the strong equity market dynamics. On January 5, we announced the sale of our Whitnell family office subsidiary which constitutes a little less than 10% of the wealth management revenues and is focused on the ultra-high net worth market. Pro forma for the sale, we retained approximately $12 billion of assets under management. As we look forward and net of the pending Whitnell sale, we expect non-interest income of $280 to $300 million in 2021. On slide 15, we highlight our expenses. The third quarter came in at $173 million inside of the $175 million level we were targeting. Core expenses continue to trend lower, largely driven by the reduction of expense following the sale of ABRC and the branch sales which mostly closed in December. We expect the expense initiatives to provide further savings as we move into 2021. As you can see from the charts on the right, our efficiency trends continue to improve and our adjusted expenses to average assets ratio is already trending to 2%. Given these positive dynamics and the pending sale of Whitnell, we're revising our full year 2021 expense guidance down to approximately $675 million. As shown on slide 16, our regulatory capital levels remain strong. Our common equity Tier 1 ratio increased 23 basis points from the third quarter, and it's grown a 109 basis points from the first quarter as we conserved capital in light of economic uncertainty. Our TCE ratio grew 44 basis points from the third quarter, benefiting from solid earnings and lower asset levels as we used excess cash to reduce higher cost deposits, and our PPP loans began to be forgiven. As we look forward into ‘21, we expect to resume opportunistic share repurchases this quarter. We will continue to target TCE levels at or above 7.5% and CET1 at or above 9.5%. So to wrap up, on slide 17, we're providing guidance for 2021. We expect full year net interest margin of 255 to 265 basis points. We expect mortgage banking revenue to moderate, but non-interest income still to come in between $280 to $300 million. We're revising our 2021 expense guidance down to approximately $675 million from the $685 million previously guided. Our provision for credit losses has trended down since the second quarter, to an annualized fourth quarter run rate of about $70 million. With the positive credit trends we’re seeing, and assuming the economy behaves positively as is generally expected, we believe our 2021 full year provision will be at or better than $70 million with some quarterly variability. And we expect our annual tax rate to normalize in the 18% to 21% range. With that, we'd be happy to take any of your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Jared Shaw with Wells Fargo Securities. Please state your question.
Jared Shaw: Hi. Good afternoon, everybody. Can you hear me?
Philip Flynn: Yeah. How are you?
Jared Shaw: Great. Thanks, Phil. Congratulations. I hope you get to really enjoy your last full winter up in Green Bay and get the most out of it. Congratulations on the next step. And we look forward to working with the rest of the team. I guess, you know, maybe starting with the margin, I think that your guidance is pretty good. It's better than what we're seeing out of most. And would love to hear, I guess where are you seeing the new loan yield? You talked about getting better spreads and putting in some LIBOR floors. Where are we seeing new loans coming on right now? And do you think that that's going to be sustainable for the next quarter or so?
Philip Flynn: Yeah. Thanks for the question. Jared. I'll let Chris answer that. But just to what you said, yes, winter was cooperating. It was 8 degrees here yesterday. So I am still enjoying that. Chris, you want to take the NIM question?
Chris Niles: Yeah. So Jared, we would point you to both the slides and the margin page in the deck, page seven in the table. It would say that the core commercial and business lending spreads have widened. And it's the combination of the strategy to have floors inserted in loans. So years ago, it started to sort of phase those out. And we've been reinserting them through the course of the year. And that started to basically lift our core yield on the loans. The spread impact doesn’t change, just the baseline, those strong [ph] LIBOR in the teens to something like LIBOR at 50 basis points, or 100, dependent upon the type of loan. And we're seeing a good maintenance of the spreads in commercial real estate lending. So not necessarily widening, but not compressing either. And the new loans aren't resulting in material shift to that. And so the combination of the new stuff coming on at reasonable spreads in commercial real estate, the slightly better mix of construction to total real estate, and the LIBOR floor strategy is really the contributing factors to the expansion you've seen in that commercial loan yield. And then as you mentioned, or as Phil mentioned on residential mortgages, we've really been holding the line and we're not terribly excited about putting 2 handle mortgages into the portfolio. And so we've been selling most of that production to the agencies. And so the book that we're left with isn't growing, but at least it has something in the neighborhood of a 1% [ph] yield.
Jared Shaw: Okay. That's great. And then I'm assuming that, that margin guidance assumes the benefit from this initial PPP loans, but anything coming out of the newest round is not included in that, is that correct?
Chris Niles: We've given a full-year guidance for the 255 to 265, that's sort of the good indicator for the entire year. But yeah, what I just walked you through on our spreads is all excluding PPP. We break out commercial PPP as a balance, and as a yield and is spread independently for you on all of our tables and materials.
Jared Shaw: With the newest round that's coming out, I guess, what should we be thinking volume could look like on that compared to what we saw earlier, and call it, third quarter peak?
Philip Flynn: Now, I'll take that, Chris. As we sit right now, we've already received more than a 1,000 applications for $150-ish million. I don't know. It's hard to prognosticate how much there's going to be. We did $1.1 billion [ph] in the first two rounds last year. The rules are a little bit more difficult this time around. So certainly be something less than that, but it's kind of hard to hazard a guess.
Jared Shaw: Okay. All right. Totally get that. And then just shifting to the core loan growth. Looking at your guidance, expecting 1% to 2% increase in C&I, you also talked about utilization improving and giving that one to two benefit, so is that really - you're not expecting a lot of necessarily core C&I growth other than an improvement in utilization, is that the right way to look at it?
Philip Flynn: Yeah. I think you're going to see most of our growth from the big backlog of commercial real estate fundings that will come and we're sitting at the end of the year at almost $2 billion and there is additional new business there. Commercial utilization, as you know from looking at other banks and across the industry, is very low. So we certainly think as the economy picks up, we'll get more utilization, 1% to 2%, maybe a little bit conservative, it's just - it's hard to know what the general commercial borrower or when the general commercial borrower is going to feel comfortable stepping up. I think growth will be perhaps stronger in the second half.
Jared Shaw: Okay. And then, I guess, just finally for me. Looking at the allowance and the CECL impact, looking at the allowance ex-PPP of 182 is really strong, I guess, given the overall quality backdrop. How much did you have to rely on qualitative overlays this quarter to get there? And is that maybe a reduction of qualitative overlay is going to be the driving factor behind the provision guidance or is that not a change?
Philip Flynn: Chris, do you want to take that one?
Chris Niles: Yes.
Jared Shaw: Did you get the question?
Chris Niles: I think - yes. Jared, in our modeling, it was not so much the qualitative overlays. It's the qualitative overlays that kept the reserve level, because we try to think about reserve as being countercyclical. And so with an improving forecast that captured and driven some of the numbers here in our modeling, we – I think your question is, as we think about that level of provision guidance that we've given you, does that imply, perhaps, the total reserve level is coming down over time? The answer to that is yes.
Jared Shaw: Great. Thank you.
Operator: Thank you. Our next question comes from Terry McEvoy with Stephens. Please go ahead.
Terry McEvoy: Hi. Good evening. And Phil, congratulations on the retirement news. It's - I can't believe it's been 11 years, but congratulations.
Philip Flynn: Thanks, Terry.
Terry McEvoy: I'll start just on page two, I'm looking at the personnel expenses, which have come down all year and we've seen that in the expense line. My question is how much of that kind of fell to the bottom line last year and how much of it was kind of reinvested in the business, I know, in the past and maybe I missed it, there was kind of a technology spend slide and maybe a few others?
Philip Flynn: Yeah. Going forward, much of this is falling to the bottom line. We've been able to maintain a fairly stable tech spend, although we continue to spend significant dollars on that. So this change in personnel costs is really benefiting the bottom line.
Terry McEvoy: And then as a follow-up, kind of your COVID watchlist portfolio, slide 20 here. I'm wondering if you could provide some updated thoughts on some of the larger portfolios, particularly kind of the retailers and the retail REITs that you've discussed in the past?
Philip Flynn: Sure. Pat, do you want to take that?
Pat Ahern: Sure. Right now, we're seeing some stabilization there. The issues we had in the past have all been kind of circled in large part put behind us. So I think we're seeing in our portfolio a lot of these retail centers are collecting more, they're seeing an increase in rents, so that's been a positive. The other one that stands out in terms of real estate is hotels. Obviously, we have a pretty small exposure there relatively speaking. And I would say we've kind of, again, circled all the issues and we've kind of put actions in place to continue to monitor those and get those hopefully through the next 6 to 12, 18 months.
Terry McEvoy: Thank you.
Operator: Our next question comes from Scott Siefers with Piper Sandler. Please state your question.
Scott Siefers: Good afternoon, guys. And Phil, I wanted to add my congratulations as well. Enjoyed working with you and look forward to this final year, but wish you the best and it's well earned. I wanted to…
Philip Flynn: Thank you, Scott. I'm not done yet though, so you probably haven't done - you're not done talking with me yet.
Scott Siefers: Yeah. No. Fair enough. Fair enough. That's a good point. I guess just on the search and just sort of the timing on announcement, was there any thought to wait to announce until you kind of gone through the search? I mean, obviously, it's a kind of dicey thing with disclosing stuff, but any sense for why now? And then M&A has become another topic in the industry has gotten a lot more frothy more recently, does the search for a new CEO, does that sort of put you guys off from looking at any transactions yourself? And then I guess conversely, I guess one way to find a new CEO would be to partner with someone else and source the CEO that way. Just maybe any broader M&A thoughts you could offer?
Philip Flynn: Sure. So bunch of questions in there. First of all, on timing, I've been discussing this with the Board for some time. And as you point out at some point, this is material and should be disclosed, which is why we're doing it now. Secondly, I really think that we are very well positioned at this point with all the actions we took last year to really participate in the economic recovery. So making this announcement now in the face of what we think is a improving '21 and improving results for us to make some sense. As far as M&A, as you've seen us been active over the last few years in acquisitions, we will continue whether it's me sitting here or perhaps someone else to look at those kind of opportunities, and if we think they’re in the interest of our shareholders to pursue them. And, as always, as far as doing something more strategic, the Board with their responsibility to look out for shareholders is always open to looking at something like that.
Scott Siefers: Okay. All right. Perfect. Thank you. And then maybe switching gears a bit, I guess, for Chris, probably most appropriate for you, but as it relates to PPP, would you mind sort of trying to embed that into what total loan growth will look like for the year, inclusive of the PPP ebbs and flows between all these myriad rounds that are in there? And then same thing on the margin, how much will PPP forgiveness contribute in your existing guidance?
Chris Niles: Sure. So I think, Scott, if you take a look at the transcript, when you go back to what Phil articulated that we really expect the bulk of the PPP that fares today just go away. So that's the better part of the remaining portion and the large portion of round 3. So PPP on balance sheet will sort of be a non-material number probably by the time we get to the end of ‘21 in the grand scheme of things. The fees that are remaining for 2021 from the 2020 round, we disclosed as $12 million. So there is $12 million of unamortized fees that we're largely assuming we're going to receive next year and again, as Phil alluded to, we'll figure out how much the new is. But it's not going to be on the same order of magnitude as the round 1 and round 2, right. So it will be a smaller number and it will mostly run through the year. So it will be a little over $12 million plus whatever happens for round 3 is what's basically assumed in the budget.
Scott Siefers: Okay. Terrific. All right. Well, thank you both very much. I appreciate it.
Philip Flynn: Thanks, Scott.
Operator: Our next question comes from Jon Arfstrom with RBC Capital Markets. Please state your question.
Jon Arfstrom: Good afternoon.
Philip Flynn: Hey, Jon.
Chris Niles: Hi, Jon.
Jon Arfstrom: Phil, I'm more interested in the Lambeau [ph] weather report for Sunday?
Philip Flynn: Mid 20s and likelihood of light snow.
Jon Arfstrom: Okay. All right…
Philip Flynn: Won't care, but the rest of their team isn't going to like it.
Jon Arfstrom: I was just going to say, similar to Foxborough. Well, good luck with that. I'll congratulate you after - probably Q3 earnings. But just a question back on the C&I piece of it. Those balance has been coming down over the last several quarters and just I'm curious if you're starting to see signs of life there? It sounds like you're a little more bullish on that later in the year, but are you starting to see some of those balances trough?
Philip Flynn: We've had some really good success, particularly in the fourth quarter with some new customers and some new closings and the pipelines are encouraging. I mean, that said, low utilization has kind of masked that. So I think it's still a little early yet, but we believe that vaccines are going to become much more widely available here and as the population starts to be able to access that, it's going to have a pretty big impact on growth. So, as I said, the 1% to 2% is our forecast now, but I would think that there is a decent likelihood that that's conservative. But you're probably going to see it more in later quarters after the first quarter.
Jon Arfstrom: Okay, good. And then on the interest bearing demand growth, if you guys had to put your finger on what's really driving that, is it environmental, is it you and how sticky do you think these balances are longer term?
Philip Flynn: Chris, do you want to take that?
Chris Niles: Sure. I mean, I would note that the rate on those is blending out at 8 basis points. So they are not being attracted by rate. So we're not - it's not a rate opportunity. But I think it is generally the liquidity broadly across our commercial customer base and across, in particular, for these accounts the municipalities and various government entity level groups that have balances that have just nowhere else to go with the money in the short run. There aren't investment options that make too much sense either and 8 basis points is better than zero. And so I think, perhaps, that's generally the math that those customers are doing there in these types of accounts.
Jon Arfstrom: Okay. And then resuming the repurchase program, I'm just curious, in your mind how attractive is that for you and how aggressive would you like to be? Thanks.
Philip Flynn: Yeah. So all we can really say on that is, we have - well, we have about $100 plus million of authorization right now. And even though the stock has somewhat recovered, we're still trading at what would, to us, seem an attractive level of repurchasing stock at. So not going to signal too much about what we're going to do in the first quarter other than we're going to resume.
Jon Arfstrom: Okay. Well, you issued stock when you showed up and now you're buying it back, right, 11 years later, so that's good.
Philip Flynn: Well, we've been buying it back for a while. So…
Jon Arfstrom: All right. Thank you.
Philip Flynn: Thanks, Jon.
Operator: Our next question comes from Michael Young with Truist. Please state your question.
Michael Young: Thanks for the question. I'll follow-up on Jon's. Well wishing, Phil with Packers won their Super Bowl back close to when you started there, so hopefully, they'll bring one home for the Greenberg l lead. And…
Philip Flynn: That would be a good - that would be a good book end to this thing, because I got here at the end of '09 and they won the '10 Super Bowl, so, yes, that would be perfect.
Michael Young: Yeah. The timing could be unique. Well, anyways, maybe just following up on that, kind of starting with just a high level question, you've been here for 10, kind of 11 years and just curious with what you've done in terms of credit cleanup and then efficiency improvement, technology, adaptation and roll out for the company through your career and I'm sure I've missed some things that you accomplished along the way. But what do you see as kind of the core needs for the franchise going forward from here and just anything that we should be expecting maybe on a go-forward basis?
Philip Flynn: Yeah. It's a great question. Appreciate that. We've positioned ourselves well from a credit point of view as you pointed out. We have a very disciplined credit culture. I think, if you look back to March of last year, it was very hard to forecast how this is going to turn out, but it appears at this point that this is going to be a very mild credit cycle. We charged off about 40 basis points of loans last year. We expect something in a similar zip code to that and compared to what we were thinking in March, it's pretty mild. Now, perhaps not every bank will have those results, but we have relatively modest and broadly diversified exposure. So yes, I think we're in good shape on credit. We've invested a lot in tech. Thank goodness we did that, because when we had to handle our customer's remotely, we've had a mobile app that works, online works, we've invested a lot of money in this. And, importantly, we still have 3,000 people working from home and we've been able to do things like handle a record amount of mortgage volume and such. Going forward, the challenge for us is the same challenge as the whole industry faces. We've got a basically zero interest rate environment stretching out for a couple of three years. So it behooves us to continue to work hard on finding efficiency, so that we can grow our bottom line in that very difficult macro environment. Fortunately, the economy to us looks like it's going to improve and that will give us some tailwind as we get into the year, but doing things well, doing them efficiently is the biggest challenge we have in this rate environment.
Michael Young: Okay. I appreciate that perspective, Phil. And maybe just following up on kind of the loan growth outlook, I think you mentioned still resi is not super attractive at these yields, although maybe better than securities. But it seems like the swing factor and kind of growth for 2021 outside of just the macro lift in commercial is the ability to start stabilizing and or growing kind of the residential book. So at what point would the long end of the curve kind of ticking up, would you be interested in putting that paper on the balance sheet?
Philip Flynn: Chris, what do you think? I mean, you…
Chris Niles: Yeah.
Philip Flynn: Securities, I think, get a little more attractive, hopefully, right.
Chris Niles: We would hope so. Yeah. And the resi and mortgage book, we've been sort of focused in - if you look at this quarter's yields, for the fourth quarter, the resi book had expected yields of 3% and that's probably a reasonable level that for us to be adding to that book and certainly a much better yield relative to other security choices that might be available and it wouldn't require much of a backup in some products to get back to those levels. So that would certainly be the level we'd probably start to add some back to the balance sheet.
Michael Young: Okay. Thank you. I appreciate it.
Operator: Thank you. [Operator Instructions] Our next question comes from Chris McGratty with KBW. Please state your question.
Kelly Motta: Hi. This is actually Kelly Motta on for Chris. Thanks so much for the questions. Most of what I had has been asked and answered already. But on - maybe on liquidity and liquidity management. You've heard that there will - from a lot of banks that there's still going to be a drag from an influx as PPP is forgiven and potentially we get more stimulus. How should we be thinking about that over the course of 2021 and the size of the balance sheet? Thank you.
Philip Flynn: Sure. I'll take that, Chris. If you noticed the quarterly trend, obviously we and everyone have been awash in liquidity, but you'll also notice that we've taken some actions to reduce that liquidity. So we prepaid, as you know, in the third quarter of the FHLB advance, that took a significant amount of cash off of the balance sheet. And this past quarter, we decided to go ahead and repay the Fed PPP facility that took another $1 billion off. So we've done some significant things to improve, i.e., reduce the amount of cash we've had. Now as the next round of stimulus rolls out and customers get PPP loans, liquidity perhaps will build, but we'll continue to look for opportunities to manage the cash on our balance sheet. Do you want to add anything to that, Chris?
Chris Niles: No, I think you've covered it. Yeah, I think we've reduced, as Phil alluded to, not only the $950 million of FHLB advances that we repaid in the third quarter, but year-over-year over $1.5 billion. So we've really put a lot of that - when you look at the total year-over-year, deposits are up $2.7 billion and we repaid $1.5 billion of Federal Home Loan Bank and has lead to another $1 billion of PPPLF. So we're really sort of put the money out to offset other liabilities in an effective way.
Kelly Motta: Thanks a lot.
Chris Niles: Looking for those opportunities.
Operator: Thank you. There are no further questions at this time. I'll turn it back to management for closing remarks.
Philip Flynn: Great. Hey, thank you and thanks for the kind words. I appreciate it. But I do look forward to talking to you in April, which is most likely. If you have any questions in the meantime, give us a call, as always, and thanks again for your interest in Associated Banc. And go Pack on Sunday.
Operator: Thank you. This concludes today's conference. All parties may disconnect. Have a great day. Thank you.